Operator: Thank you for standing by. At this time, I would like to welcome everyone to the Cytek Biosciences First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. I would now like to turn the conference over to Paul Goodson, Head of Investor Relations. Please go ahead, sir.
Paul Goodson: Thank you, operator. Earlier today, Cytek Biosciences released financial results for the first quarter ended March 31, 2025. If you haven't received this news release or if you'd like to be added to the company's distribution list, please send an email to investors@cytekbio.com. A copy of the news release is also available on the Investor Relations section of Cytek's website at investors.cytekbio.com. Joining me today from Cytek are Wenbin Jiang, CEO, and William McCombe, CFO. Please note that we will be referencing a slide presentation during the call today. That has been posted to the Investors section of our corporate website. As a reminder, we will make statements during the call that are forward-looking statements within the meaning of the federal securities laws, including statements regarding Cytek's business plans, strategies, opportunities, and financial projections. These statements are based on the company's current expectations and inherently involve significant risks and uncertainties that could cause actual results or events to materially differ from those anticipated in these statements. Additional information regarding these risks and uncertainties appears in our slide presentation in the section entitled Forward-Looking Statements in the press release Cytek issued today, and in Cytek's filings with the SEC. This call will also include a discussion of certain financial measures that are not calculated in accordance with generally accepted accounting principles. Additional information regarding our use of non-GAAP financial measures, including reconciliations to the most directly comparable GAAP financial measures, may be found in our slide presentation and in today's press release. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Except as required by law, Cytek disclaims any duty to update any forward-looking statements, whether because of new information, future events, or changes in its expectations. This conference call contains sensitive information and is accurate only as of the live broadcast on May 8, 2025. Finally, I would like to invite analysts and institutional investors to attend any of the six user group meetings Cytek will be hosting in 2025. These are typically all-day meetings where Cytek scientists and users of Cytek's instruments meet to discuss research initiatives, advances in the field, and use cases for Cytek's products. The next meeting will be in La Jolla on May 15 at the Estancia Hotel. In addition to Cytek's user group meetings this year, there will be a variety of industry and academic conferences, meetings, and seminars where we will be exhibiting Cytek's products in the US and around the world. While these events are primarily geared to the scientific community, they may offer an opportunity to interact with users of our technologies to learn why Cytek's instruments are so highly valued by our customers. We have a limited number of spaces to accommodate members of the financial community, so if you are interested in attending any of these events, please contact me. With that, I would like to turn the call over to Wenbin Jiang.
Wenbin Jiang: Thanks, Paul. Welcome, everyone, and thank you for your interest in Cytek. On today's call, I will discuss our performance during the first quarter, including factors impacting our business, provide an update on our 2025 outlook, and share details on how we are navigating this dynamic macro environment. Next, I will provide highlights on our progress in the quarter across our strategic priorities for 2025 before handing the call over to William McCombe for a more detailed look at our financials and our 2025 outlook. Starting with our first quarter revenue on Slide three. First quarter revenue in 2025 was $41.5 million, down 7.6% compared to the first quarter of 2024. The year-over-year decline was driven mainly by weakness in instrument sales in the US and EMEA, partially offset by strength in instrument sales in APAC and the rest of the world region. Service revenue worldwide reached $13.3 million, an increase of 24% versus a year ago. The growth in service revenue continued its strong performance and was driven by the expansion of our instrument installed base and active usage of our tools across a broad range of different applications. Turning to slide four. Diving into the underlying factors towards the last month of the first quarter, we again see a broad-based slowdown in instrument orders across our US and EMEA region. Among the academic and government customers in the US, instrument placements declined driven by uncertainties with academic funding from US policy changes. In EMEA, prior due to government funding policies affected purchasing trends. Sales across our biotech, pharma, and CRO customers declined due to some orders being postponed to the second quarter and the customer buying decisions being influenced by the uncertainties across the industry due to the US policy environment. Geographically, we continued to benefit from a stronger demand environment for instruments in the APAC and in the rest of the world region, which include Canada and Latin America. Total revenue in APAC and rest of the world region together was $11.4 million, up 35.6% year over year. While we are really in future sales in China with a level of conservatism, we continue to experience an increase in orders in the first quarter related to the China stimulus program. Due to the recent change in the market environment, as a result of these macroeconomic and policy-related factors, we now anticipate full-year 2025 revenue to be in the range of $196 million to $210 million. We continue to expect concern on capital equipment spending in the US and EMEA due to these conditions. William will provide more details on this outlook shortly. While we continue to operate in a dynamic market environment, the buildable foundation we have built enables us to be agile and to drive faster forward to uncertain times. Importantly, we remain confident in our positioning. We are serving a large and growing cell analysis market with our industry-leading cell analysis portfolio. Global diversification and the critical first-mover advantage we have in FFP technology. More than 50% of our product sales are outside of the US. To support our customers worldwide, we have established manufacturing operations in three countries: the US, China, and Singapore. This manufacturing footprint enables region-for-region manufacturing and allows us to optimize product flow for any global health environment. We further believe that having multiple manufacturing locations enhances the resilience of our supply chain, thereby ensuring more reliable and cost-effective product availability for our customers. Our current manufacturing capacity for instruments and the region can more than adequately support our customers for the foreseeable future without additional capital investment in production facilities. I would now like to update you on the progress our team has made across our core strategic pillars: instruments, application, bioinformatics, and clinical. Solidifying our position as a market leader in next-generation cell analysis solutions. Starting with our core instruments on slide five. In the first quarter, we expanded our global footprint by 115 instruments, bringing Cytek's total installed base to 3,149 units. In the first quarter, we also announced the launch of the FiFit Muse microsystem. The Muse microcell analyzer is an affordable option that simplifies flow cytometry while enhancing ease of use, precision, and versatility. This latest instrument expands assay capabilities to drive adoption in new emerging markets such as cell and gene therapy and drug discovery by enabling smaller labs and resource-limited facilities to access high-quality flow cytometry at a cost-effective price. While revenues were down in this Q1 2024 in both the academic and government and the biopharma market segments, we believe this was largely due to market weakness rather than market share loss. Our competitive position as a leader in the FFP market segment remains strong. We have established a significant commercial footprint and brand identity in the US and EMEA and are expanding our market leadership in APAC and in the rest of the world region. The larger installed base of high-parameter analyzer instruments we have built over time provides a durable foundation for driving current revenue growth in our service and reagents businesses. To expand our addressable market and accelerate growth, we have made strategic investments to advance our product pipeline with newer generations of products such as our sales product and entry-level to mid-level instruments, including our Northern Light line and Muse microsystem. The resilience of our power portfolio amidst a challenging macroeconomic backdrop is demonstrated by the 15% trailing twelve months growth in our sales order unit placement and 17% TTM growth in normalized units installed. Within our portfolio, Aurora sales total revenue grew 15% year over year, and Northern Light revenue increased 6% year over year in the first quarter. Northern Light's research unit-only sales grew 8% year over year. Notably, both Aurora cell sorter and Northern Light instrument sales have continued the growth trend that we saw in the fourth quarter of 2024. Collectively, these instrument placements represent growth across a diverse customer base offering comprehensive and better solutions tailored to meet their needs. Moving to our Informatics on slide six. I'm pleased to report that the Cytek cloud continues to grow as a vital resource in the research community. Our main goal is to enable our customers to streamline their experiment workflow through our software tools, which drive adoption and utilization of our cell analysis solutions and the growth in our reagent and service businesses. We now have over 18,000 users, which grew by 2,000 users in the first quarter alone. This represents an average of about six users per installed Cytek FFP instrument, which validates the loyalty our users have to our product portfolio and demonstrates the halo effect of our platform. The increase in Cytek cloud users, the fast growth in the usage of our product, and is directionally correlated with long-term recurring revenue growth drivers from our reagents and service businesses. Turning to our next growth pillar, applications. While we are in the early innings with our reagent business, we continue to believe that it has strong growth potential. We plan to drive growth by accelerating our new reagent product introduction engine, which will expand our reagent offering and application-specific kits. The share of reagents we supply at reagent volume used on our instruments is still at the onset of its growth trajectory. We believe there is significant growth potential ahead as we continue serving our expanding installed base, improving our execution, and the delivery time to customers, leveraging the Cytek cloud as a reagent sales platform, and introducing new reagent products and applications. Notably, I believe we have reached an inflection point with recurring revenue, including reagent and service revenue combined. Leveraging our established and expanding installed base. In the first quarter, we were pleased to see our sales positively contribute to our recurring revenue rate as a percentage of our total revenue. Specifically, our trailing twelve-month recurring revenue is steadily growing, representing 31% of our total revenue in the first quarter, up from 26% a year ago. Further, our trailing twelve-month recurring revenue grew 17% in the first quarter compared to the prior year. Longer term, we expect our credit service and reagents revenue to be stronger growth drivers for Cytek. Turning next to clinical. We continue to believe the clinical market represents an attractive business opportunity for Cytek, and we have seen considerable growth in the EU and APAC for clinical applications. In the EU, one academic hospital fully validated our minimal residual disease or MRD panel for leukemia and lymphoma and will begin implementing it in routine clinical testing this quarter. As a key opinion leader, this institution has also supported our outreach to other clinical sites in the Netherlands, Australia, and Brazil. Overall, I'm encouraged by our results despite challenging macro headwinds in the US and EMEA. We have areas of strength in high-growth regions, including in Asia Pacific and the strength in our sales order and Northern Light instrument. The larger installed base we have built worldwide provides the basis for long-term growth in our recurring services and reagent businesses and offers the opportunity to scale our instrument offerings. I believe that we are well-positioned to emerge from this period even stronger than we are today, leveraging our industry-leading cell analysis portfolio and strong business fundamentals. With that, I will now turn the call over to William McCombe for more details about our financials.
William McCombe: Thanks, Wenbin. Turning to Slide seven and our first quarter financial results. Total revenue for the first quarter of 2025 was $41.5 million, a 7.6% decrease compared to the first quarter of 2024. Product revenue, which is instruments and reagents, decreased 18% versus Q1 of 2024. This decrease was driven by a weaker instrument market in the US and EMEA. As Wenbin described earlier, this was primarily due to academic funding uncertainties in the US, pressure on government budgets in EMEA causing delays in academic and research funding, and a cautious capital spending environment in the biotech and pharma industries. Service revenue was a bright spot, growing 24% versus Q1 of 2024. Growth in service revenue reflects continued expansion of our installed base of instruments and active usage of our systems. Turning to our geographic market performance, Total US and EMEA revenue declined 13% and 24%, respectively, driven by lower instrument sales for the reasons I mentioned. On the other hand, Asia Pacific grew very strongly, up 40% driven by particularly strong growth in China. Other international markets, primarily Canada and Latin America, also grew strongly up a small base. We believe this growth reflects the strength of Cytek's brand and customer preference for our technology globally. GAAP gross profit was $20.2 million for the first quarter of 2025, a decrease of 12% compared to gross profit of $23 million in the first quarter of 2024. GAAP gross margin was 49% in the first quarter compared to 51% in the prior year. Non-GAAP adjusted gross margin in the first quarter was 52% compared to 55% in the prior year quarter. The decline in GAAP and adjusted gross margin was primarily due to lower product revenues and higher manufacturing overhead. This was offset by higher service gross margin compared to a year ago. We expect quarterly gross margin to improve for the balance of the year as quarterly revenue increases consistent with typical seasonal patterns. Operating expenses were $35.1 million for the first quarter, an increase of $1.4 million from the prior year. Research and development expenses were $9.7 million for the first quarter, down $100,000 from the first quarter of 2024. Sales and marketing expenses were $12.5 million for the first quarter, flat versus the first quarter of 2024. General and administrative expenses were $12.9 million for the first quarter, up $1.5 million from the first quarter of 2024 due to higher outside services and headcount expense. Loss from operations was $15 million for the first quarter compared to the $10.7 million loss from in the prior year quarter. GAAP net loss was $11.4 million in the first quarter compared to GAAP net loss of $6.2 million in the prior year quarter. This was primarily due to a larger loss from operations of $15 million in the current quarter versus $10.7 million a year ago and a tax expense of $100,000 versus a tax benefit of $2.8 million a year ago. Offset by higher other income due to $1.3 million foreign exchange gain in the current quarter compared to a $1.1 million FX loss in the prior year quarter. Adjusted EBITDA, which excludes stock-based compensation and foreign currency impacts, decreased to a loss of $3.3 million for the first quarter due to lower gross profit compared to a loss of $700,000 in Q1 of last year. Adjusted EBITDA included investment income of $2.3 million. Excluding this amount, adjusted EBITDA loss was $5.5 million in Q1 compared to a loss of $2.6 million in Q1 of last year. We expect adjusted EBITDA to improve on a quarterly basis as revenues and gross margins increase consistent with typical seasonal patterns. Total cash and marketable securities decreased $12.3 million versus Q4 to $265.6 million as of March 31, 2025. The decline was primarily driven by our investment of $10.6 million to repurchase shares during Q1. Lastly, turning to our full-year guidance on Page eight. As Wenbin described earlier, due to the significant change in our market environment since our last earnings call in late February, we are revising our full-year 2025 revenue outlook to a range of $196 million to $210 million, representing overall growth of minus 2% to plus 5% over full-year 2024. Assuming no change in currency exchange rates. Consistent with our typical seasonal pattern and especially given the current uncertainties in the market and geopolitical environment, we expect this growth to be back-end loaded to the second half of 2025. As Wenbin further noted, our market leadership position remains strong and we believe we will perform well relative to the overall flow cytometry market. Our strong balance sheet also gives us the ability to continue investing for growth. With that, I'll turn it back over to Wenbin Jiang.
Wenbin Jiang: Thanks, William. Turning to slide nine. I want to take a moment to thank our team at Cytek for their dedication to our mission and the overall resilience amidst a very difficult market backdrop. It is this shared belief that positions us well as we strengthen our foundation for the future. We are serving a large and growing cell analysis market as a market leader. We continue to make thoughtful investments in our product pipeline and our service teams to drive growth and innovation and to strengthen our competitive position. Our strong balance sheet underpins our foundation, which provides us with options and further flexibility in the future. We have a clear roadmap to expand our market leadership position in cell analysis. These powerful attributes provide us with confidence in our long-term objective of delivering sustainable growth and profitability. I want to thank everyone for joining today's call, and we will now open it up for questions.
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please press star 1 on your telephone keypad to raise your hand and join the queue. We will pause for just a moment to compile the Q&A roster.
Tejas Savant: Your first comes from the line of Tejas Savant with Morgan Stanley. Your line is open. Hi. This is Jason on for Tejas. Thank you for taking our questions. So tariff statement, key focus for investors. So I sound manageable for Cytek, I just wanna confirm, should we expect any gross margin impact because of the recent tariff policy? Apologies if I misheard. I believe you said, like, Cytek could potentially use some of your current available inventory to provide a buffer, but obviously, that is just temporary, so I was wondering if you could quantify, like, a gross margin impact from the current registrations on the tariff policy. And then you talked about some supply chain mitigants. I don't believe I heard you talk really about pricing. So is pricing something Cytek could turn to also as a mitigant to the tariffs? And I guess the third part would be there's currently a 25% tariff from China and US exports. So, obviously, it's very hard to sell any products there. I'm wondering, like, how much of the 2025 revenue guidance cut could be because of this dynamic, like the inability to sell products in China? Thank you.
William McCombe: Okay. Let me try to take those in order. So it's important to understand that we have established manufacturing facilities that are all producing and shipping product in three regions: the US, Singapore, which is our new facility, and Wuxi, China. And so our primary strategy for managing tariffs is what we call region-for-region manufacturing. So we make product for sale in a particular region in the region that would be least impacted by tariffs. So making product for Asia and Europe in Asia and US product for sale in the US in the US. Obviously, we can't do that 100%, but we are able to mitigate a substantial portion of the potential tariff liability that way. The other thing that we can do is reorganize where we source components from. And then thirdly, we are recovering some costs from customers through surcharges. And so those are the strategies for dealing with the tariffs. We don't think that that will have any significant impact on our revenues in 2025. When I say that, I'm obviously putting to one side the uncertainties created by the economic and market environment that we're in. But in terms of tariffs specifically, we don't think that will have an impact. In terms of gross margin, the impact, I think, will be fairly limited and in the range of 1% to 3%. And in that regard, you know, we expect, as I mentioned in my remarks, that gross margin will improve over the ensuing quarters because, you know, we expect that revenues will follow a typical seasonal pattern where they'll be stronger in Q2, three, and four. And, you know, with higher revenues, we see a benefit at the gross margin line. Did I cover all your questions?
Tejas Savant: Yeah. Most of it. And then the third part, about the 25% tariff from China and US exports. Are you still able to sell your products in China? Thank you.
William McCombe: We are able to sell products in China. Absolutely. But that's the way that we deal with that tariff is through our region-for-region manufacturing. So, obviously, products sold in China don't incur a tariff if they're manufactured in China or if they're manufactured in Singapore.
Tejas Savant: Great. Thank you for the color on that. And then if I may ask just a follow-up. So the academic government end markets seem like the policy situation just might have gotten worse since you last guided in April. So we're seeing significant disruption in government funding at universities with some of the largest research budgets. There was also, like, a proposed 40% cut in the proposed 2026 budget to the NIH. So I'm just wondering, how are you thinking about, like, these potential risks to your 2025 guide? And what was your overall outlook for this end market? Like, do you think maybe, like, minus mid-single-digit decline could be reasonable? Thank you.
William McCombe: Look. The uncertainties associated with university funding in the US are factored into our revised guidance. You know, that's one of the new issues that caused us to come out with this revised guidance. So the short answer to your question is it's factored into what we've told you about revenue expectations. I would make a couple of points, though. One is that more than 50% of our revenue is outside the United States. So, obviously, that revenue isn't affected by US university funding. And then thirdly, most importantly, as we think about our revenue in three buckets: service, which is growing strongly, reagents, which also saw some nice growth in Q1, particularly in the US and EMEA. And then the instrument portion of our revenue is the one that's most impacted by issues like the one that you mentioned. But the other two revenue sources or revenue streams are, you know, not particularly affected by US university funding issues. All that said, we are continuing to sell instruments to US universities here in the second quarter.
Operator: Your next question comes from the line of Matthew Sykes with Goldman Sachs. Your line is open.
Matthew Sykes: Hi. This is Evie on for Matt. Thanks for taking my questions. So the first one on the AURORA sales order, what drove the double-digit growth there? And are there any specific end markets you would call out that may be differentiated versus your other instruments?
Wenbin Jiang: Well, I think we are seeing nice growth across all territories for our cell sorters. Part of the reason is clearly we see the benefit of Cytek's sorter matching very well with our analyzer now already and widely being adopted by both academic and industry users, and this matching of the panels between Cytek's sorter and Cytek's analyzer clearly demonstrated the benefits for our users and make it very easy for them. So that's one reason. Second part is clearly the performance of our cell sorters has been very well demonstrated. And many of our users can easily go with our filters directly and go beyond the 40 color panels. And so this is something they would like to see, and so even under today's, we know the tight budget situations, they see the benefits and they are jumping to Cytek technology.
Matthew Sykes: Okay. Great. Thank you. And then another one on phasing. You noted that you expected growth would be back half-loaded this year. What's driving this assumption? And is there any specific end market you expect to improve as we go throughout the year?
William McCombe: There's two factors. One is that typically our second half of the year represents more than 50% of total sales. So it's generally, usually somewhere in the mid-fifties. So that's point one. And that's just a function of the buying patterns of our customers. They tend to buy more, particularly in the fourth quarter than in the first quarter. First quarter tends to be a light quarter. Fourth quarter, significantly more active. We don't obviously, there are some new uncertainties in the market environment. We, you know, can't predict the future with respect to overall economic growth and the broader market. But beyond that, we don't see anything that would suggest that there's gonna be a fundamental shift or difference in that normal quarterly pattern. So that's point one. And then point two is that the impact that we've seen on the first quarter has been clearly, there's been some signaling of direct reductions in funding. But to a large part, it's been the driver of reduced spending has been uncertainty about what the future may hold. Not unreasonable to expect that as we get further into the year, that our customers' funding individual funding situations will be clearer and that some of that uncertainty might lessen. And so I think that's also an overlay of how we think about it. I also wanna come back to this point that our revenue outlook is a function of is formulated based on three different revenue streams, service, you know, where we think that the installed base and the usage and activity of our systems is gonna drive continued growth. Reagents where we've been seeing nice solid growth trends, so those revenue streams should continue to see steady growth. And then the seasonal variation and the lessening uncertainty is primarily gonna affect the instrument portion of our business.
Wenbin Jiang: The recurring revenue from service and reagents have now already exceeded 30% of our total revenue.
William McCombe: Up from 26% a year ago to thirty-one.
Wenbin Jiang: And that recurring portion is growing 17%. So that should, you know, continue to grow at similar rates. The service revenue growth rate just as the installed base increases, you know, that's gonna moderate slightly, but that's something that's an effect that will take some years to materialize.
Matthew Sykes: Great. Thank you.
Operator: Your next question comes from the line of David Westenberg with Piper Sandler. Your line is open.
David Westenberg: Hi. This is John on for Dave. Thanks for taking the questions. So could you just comment on whether or not you're seeing any of your competitors raising price due to tariffs? And also, could you give any color on your R&D spending? Are you looking more into imaging or spectral for new product innovation? Thank you.
Wenbin Jiang: On the pricing side of things, still in the early stage. Right? And I think we do see a report talking about passing around some of the tariff costs over to the customers. So but we still wait to see how it is going to impact the overall market situation. With regard to 20% of our revenue to R&D and drive new products. Imaging clearly is one of the directions of the company, which we are working on within the R&D department.
David Westenberg: Okay. Thank you.
Operator: Your next question comes from the line of Chad Wiatrowski with TD Cowen. Your line is open.
Chad Wiatrowski: Hey, guys. This is Chad White House down for Brendan Smith. Just on the share repurchases this quarter, obviously, balance sheet's still healthy. How do you sort of reconcile doing share repurchase purchases versus M&A? Or organic investment and what sort of the plan throughout the remainder of the year?
William McCombe: We plan to do both share repurchase and have capital available for M&A. So we think we have plenty of cash available to do both. With respect to specific share repurchase plans, I, you know, I can't say much more than the authorization. Last year, we purchased $10.5 million worth of shares in the first quarter, approximately $2.1 million. You know, that's basically all I can say for the time being. In terms of capital allocation priorities, our plan is to have capital available to do both.
Operator: Again, if you would like to ask a question, press star one on your telephone keypad. Your next question comes from the line of Andrew Cooper with Raymond James. Your line is open.
Andrew Cooper: Hey, everyone. This is Noah on for Andrew. First question, just wanted to get a feel for what are customers saying about the Cytek Muse? Are you seeing a lot of interest? I just wanna get an idea of what you're seeing in that new product launch.
Wenbin Jiang: Cytek Muse being a new product run and is to support gene and cell therapy. Right? And this is a new product currently still in the sampling evaluation stage, but we do have some early products based on the technology acquired from Luminex. And that's the part that has been selling very well. And normally, match certain needs for example, like cell counting and live dead cell, that kind of testing. But micro Muse one we're going to launch, will add new features, new functionalities to support new applications and enable us entering into a new market in the meantime to help drive our reagent revenue as well.
Andrew Cooper: Awesome. And then maybe if I can just get one more. You know, you mentioned pharma biotech, and I think the CRO market postponing orders. Kinda wanna get an idea of what you're seeing now that we're about a week into May. Is there a little bit more optimism? Is it still just about the same as April? And then also, how does that compare to what you're hearing from your academic and government as it relates to funding?
William McCombe: Look. We incorporated, you know, everything that we're seeing into our quarterly guide sorry, into our annual guidance. So I've also I also mentioned that, you know, we expect to see a typical seasonal pattern between the quarters. So there's nothing that we've seen so far in May that would be, you know, at odds with that. But we don't we don't typically comment on month by month or give quarterly guides, but just suffice it to say that, typically, our Q2 is stronger than our Q1. I think as we've mentioned in the past, we're primarily a third-month company. The significant majority of our sales for each quarter happens in the third month of the quarter. So, obviously, we haven't seen June yet, and so any, you know, so the evidence around the second quarter so far is limited, but it's consistent with the it supports the views that we've expressed here. Pharma customers versus academic and research, you know, I think you'll see from our 10-Q that revenue from those two sectors was down by a similar amount. So, you know, we saw a cautious spending environment from the pharma industry. There are some macro reasons for that related to, you know, tariffs and drug pricing concerns, so on. But generally speaking, you know, we haven't seen much different other than just a more cautious tone around capital spending. But, you know, our systems big pharma still has a strong preference for our systems because they're uniquely capable of being harmonized. And that's very important to them. And, you know, we continue to see multiple system orders from big pharma for that.
Operator: And seeing no further questions at this time, that does conclude today's conference call. Thank you all for joining, and you may now disconnect.